Operator: Good afternoon. Thank you for attending today's Informatica Inc. Fiscal First Quarter 2025 Call. My name is Megan, and I'll be your moderator for today. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions]. I would now like to turn the call over to Victoria Hyde-Dunn, Vice President of Investor Relations. Please proceed.
Victoria Hyde-Dunn: Thank you, Megan. Good afternoon, and thank you for joining Informatica's first quarter 2025 earnings conference call. Joining me today are Amit Walia, Chief Executive Officer; and Mike McLaughlin, Chief Financial Officer. Before we begin, we have a couple of reminders. Our earnings press release and slide presentation available on Informatica's Investor Relations website at investor.informatica.com. Our prepared remarks will be posted on the IR website after the conference call concludes. During the call, we will be making comments of a forward-looking nature. Actual results may differ materially from those expressed or implied as a result of various risks and uncertainties. For more information about some of these risks, please review the company's SEC filings, including the Section titled Risk Factors included in our most recent 10-K filing for the full year 2024 and the 10-Q to be filed for the first quarter of 2025. These forward-looking statements are based on information as of today, and we assume no obligation to publicly update or revise our forward-looking statements, except as required by law. Additionally, we will be discussing certain non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. A reconciliation of these items to the nearest U.S. GAAP measure can be found in this afternoon's press release and our slide presentation available on Informatica's Investor Relations website. And with that, it is my pleasure to turn the call over to Amit.
Amit Walia: Thank you, Victoria. Thank you everyone for joining us today. Before turning to Q1 results, I'd like to provide three updates since we met last on our February earnings call. First, 2025 marks the final phase of our business model transformation journey to being a cloud-only company. As I mentioned before, our large, high-growth Cloud business is very healthy, as we continue the engineered decline of our end-of-sale on-prem businesses. Looking at our on-prem businesses, maintenance and self-managed ARR combined, represented approximately 50% of the total ARR in Q1, down 13% year-over-year. Turning to our cloud business. Cloud subscription ARR represented approximately 50% of total ARR in Q1, up from 40% a year ago. At the midpoint of full year guidance, it is expected to be 58% of total ARR. This is playing out as expected when we provided guidance in February. We see growth in Cloud modernization deals. We see growth in new logos, and we continue to see growth in expansion opportunities unfolding for us. We also continue to see healthy Cloud pipeline coverage and an increasingly growing appetite for our GenAI capabilities from conversations, customer and product events, AI webinars and actual product usage. We are encouraged by this momentum, which is a tailwind to our business. We are also mindful of the fluid macro environment. We have not seen a noticeable change in customer buying behavior through April of this year. Most of our software and services are regarded as essential in processing mission-critical workloads and use cases and contributing to operating efficiency and growth for customers. Our Cloud pipeline remains very healthy. So we have Informatica Award next week, which many customers and prospects plan to attend, driving second half lead gen and pipeline. As of today, we have a year-over-year increase in registration at Informatica Award as well as an increase in pipeline at Informatica Award compared to last year. Second, I'm pleased to share that we have taken steps to address the operational missteps in our renewals from last quarter. We've implemented all the operational changes that we discussed in our February earnings call and they are already bearing fruit. We introduced a new retention operating model internally turn that leverages our internal AI models to help us identify potential risk accounts even earlier, ensuring we have more lead times to take proactive steps to mitigate. We have enhanced operational discipline between our customer success and field sales team incorporate an even tighter alignment and incentives at the account level. Our first quarter results demonstrate that we have made good progress and we're moving in the right direction. Our team is now focused on building upon their Q1 success to execute against the Q2 targets. Third, taking all of this in, we are comfortable reaffirming our full year guidance. Very importantly, we remain on track to reach the remarkable milestone of $1 billion business in cloud subscription ARR. Our diversity accord businesses, geographies, industries and large enterprise clients positions us very well to navigate the current climate. We continue to provide value through our best-in-class product innovation that hasn't skipped a beat. We are uniquely positioned as a leader and the only Cloud data management top team with the best data management products, offered in a single platform with consumption-based pricing, helping customers digitally transform to the cloud with AI and additional tailwind that has immersed in the last year or so. Our vendor neutrality and ecosystem of over 650 partners broaden our global reach and impact. With our strong cash flow and cost discipline, we continue positioning ourselves well for sustainable growth and profitability. With those three things, let me now turn to Q1 results. We delivered a solid start to the year with all key growth and profitability metrics above the midpoint of our guidance metric ranges. Cloud subscription ARR grew 30% year-over-year to over $848 million, above the midpoint of the guidance range. Total ARR rose over 4% year-over-year to $1.7 billion and total revenue grew 4% year-over-year to $404 million, both exceeding the high end of the guidance range. We strengthened our cash position and grew non-GAAP operating income by 11% year-over-year to over $121 million, exceeding the high end of the guidance range. Turning to our customers. In Q1, approximately 65% of cloud net new ARR in the trailing 12 months came from new cloud workloads and expansion and approximately 42% of that 65% coming from new customers to Informatica. We continue to expect the majority of our cloud growth to be net new wins for new cloud workloads amongst new and existing customers. Cloud subscription ARR customer count grew by 8% year-over-year, and the number of cloud subscription ARR customer spending greater than $1 million with Informatica grew by 48% year-over-year. The average cloud subscription ARR per customer rose to 343,000 growing at 20% year-over-year. Let me share a few customer stories behind these stats. 7 Brew is a high-growth coffee franchise backed by Blackstone with over 365 locations across the United States. In order to build a scalable infrastructure to support their businesses, 7 Brew partnered with us and a hyperscaler partner to develop a data foundation anchored in quality master data management. Another long-standing Informatica customer, [indiscernible] which is a global leader in insurance with operations in 54 countries and territories is expanding their Informatica engagement, currently already leveraging IDMC for governance, quality and integration, they opted to now modernize their MDM footprint to create a comprehensive data foundation with Informatica and Microsoft Azure. Longchamp, that you all probably know, our French luxury Leather goods company, renowned for its high-quality handbags, luggage and fashion accessories chose to modernize the power center platform to Informatica IDMC to secure and accelerate their ERP modernization program. Tailor-made call needed to modernize its data integration stack to keep pace with omnichannel growth and new brand expansions. With Informatica, the golf icon consolidated its legacy integration vendors into one unified cloud platform, which is IDMC, enabling real-time data flows across warehouses, e-commerce, assembly operations and international offices. The Informatica platform is helping tailor-made deliver new integration requirements faster than ever and instantly connect to partners like Snowflake with prebuilt connectors, turning from customers to our partners. Talking about our ecosystem partners, we announced expanded support for Databricks AI functions via our native SQL ELT which enables customers to execute Informatica no-core data pipelines and Databrick functions natively within Databricks. Databricks featured Informatica in their Intelligent Data Engineering global broadcast, we participated in Databricks World Tour events globally, and we published a joint video on Databricks discussing how our IDMC and Databricks work seamlessly together to provide a robust, comprehensive enterprise platform for analytics and AI. With Google Cloud, we announced the general availability of our cloud data governance and catalog service natively on Google Cloud which enables customers to use their Google Cloud committed spend, via Google marketplace to subscribe to our cloud data governance and catalog capabilities. We also enhanced the integration of our MDM with SAP to facilitate an accelerated transition for organizations modernizing to S/4 HANA. Turning to our GSI partners. The trend of large partners doubling down and investing in Informatica as a core of their growing data and AI practice continues. As another large GSI built an ambitious multiyear growth plan to scale their practice with us. As mentioned previously, some of our partners have been investing in solutions to also modernize non-Informatica legacy data integration, MDM and data governance products into IDMC. During Q1, we saw good progress as these solutions are brought to market and the pipeline has been steadily building. We are committed to product innovation, customer centricity, vendor neutrality and productivity at scale across hundreds of enterprise systems with dating latencies and formats. In March, IDMC processed over 109 trillion cloud transactions per month, growing 30% year-over-year. We are pleased to be recognized as the leader in the 2025 Gartner Magic Quadrant for Augmented Data Quality Solutions report. This marks the 17th time being named a leader the Informatica positioned furthest on the completeness of vision access and the highest on the ability to execute access. In these 17 years, many vendors have come and gone, we have continued to move to the top right. Additionally, we are excited to welcome Krish Vitaldevara as a Chief Product Officer to propel Informatica to its next phase of innovation and growth. With our enterprise customers, we empower them to use AI for data readiness and simplify the data estate with informatica for GenAI use cases and GenAI tools from Informatica, which are both available on the IDMC platform. Let me give you some color behind both of them. With Informatica for GenAI, it's exciting to see many enterprise customers now building and deploying impactful GenAI apps, A Gen-tech workflows, and AI agents using our IDMC platform because on the same platform, you can use and do GenAI workloads now. The momentum is clear. GenAI recipe downloads have been nearly doubled quarter-over-quarter and we have now over 175 customers using GenAI capabilities on IDMC. In the last quarter alone, these customers executed approximately 200,000 LLM calls or prompt excluding GPT, which is a whole different product and different use cases. Real life customer success stories further exemplify the power of GenAI and IDMC, including a leading North American insurance company that leveraged IDMC, OpenAI and Snowflake to automate the processing and analysis of unstructured environmental assessment reports. This significantly reduced manual workloads, expedited decision-making processes. A California-based credit union deployed IDMC and Azure Open AI to automate call transcript analysis, to generate concise summaries and assess quality and satisfaction metrics to improve customer experiences. These are all programs that are happening and are going to move from pilot to production at scale as time progresses. Now with GenAI from Informatica, we have expanded our Clear GPT services globally now serving over 500 customers across various industries globally. We added new capabilities, including NLP interface for data quality reports, support for complex data exploration with metrics and realizations and inferred lineage to detect system connections using Clear automatically. We also added support for Informatica's cloud data governance and catalog merited access controls. We also introduced Clear GPT for MDM and 360 apps on MDM to enhance conversational experiences, democratizing access to trusted data from MDM across the organization by improving decision-making and collaboration. Additionally, [indiscernible] copilot is currently in preview for data integration and our iPass users and we'll be going live as we walk into Informatica world next week. A great customer success story that further exemplifies the power of GenAI Informatica is MABE, a leading Mexican appliances manufacturer, they transformed the fragmented data architecture across different regions into a unified AI-ready ecosystem using IDMC, Azure and SAP by implementing a connected data management strategy, MABE now delivers 95%-plus data quality score, speeds of data delivery with prebuilt automation, and avoids hundreds and thousands of dollars in costly errors that democratized access to trusted insight through the GPT interface to their end users. What I'm excited about is in one week from now, we'll be at Informatica World, and as we head into Informatica World will next week, we believe data continues to be fragmented in poor quality and unruly with AI amplifying these challenges. Across enterprises, AI doesn't deliver value alone. It needs a strong data foundation. Organizations require relevant responsible and robust AI attainable through holistic, accurate, timely, accessible, governed, protected and democratized data. That's data management, and it is crucial for transforming data into these valuable attributes. Since 2018, Informatica has led, when we launched, by the way, the first version of Claire, we have led an AI-powered data management with Claire. We are now enhancing our capabilities by integrating AI agents into our IDMC platform. Imagine autonomous AI agents managing processes like quality, discovery, governance, to name a few. We look forward to sharing much more at Informatica World next week. In closing, thank you to all of my Informatica colleagues across the globe for their hard work and to all of our shareholders and partners for their support. And of course, our customers who continue to trust us. We look forward to seeing many of them and many of you next week at Informatica World. With that, let me turn the call over to Mike. Mike, please take it away.
Mike McLaughlin: Thank you, Matt, and good afternoon, everyone. Q1 WAS a solid financial quarter across the board with all key growth and profitability metrics above the midpoint of our guidance. I'll begin by reviewing our Q1 results, focusing first on Informatica's annual recurring revenue. Total ARR was $1.704 billion, growing 4.1% year-over-year, both on a reported and constant currency basis, exceeding the midpoint of our guidance range by $18.6 million. This growth was driven primarily by new cloud workloads, strong cloud net expansion with existing customers and accelerating migrations from our on-prem base to the cloud. Foreign exchange rates negatively affected total ARR by $649,000 on a year-over-year basis. Now let's break down our total ARR into its three components. First, cloud subscription ARR was $848 million, $2.4 million above the midpoint of our February guidance, representing 30% growth year-over-year and 30.1% in constant currency. New cloud workloads and net expansion with existing customers drove cloud subscription net new ARR of $196 million year-over-year. Cloud subscription ARR now represents almost 50% of total ARR, up from 40% a year ago. Foreign exchange negatively impacted cloud subscription ARR by $424,000 on a year-over-year basis. Approximately 65% of cloud subscription net new ARR in the trailing 12 months came from new cloud workloads and expansion of existing workloads and 35% came from modernization. This quarter, our modernization deals were over one-third of our cloud new bookings, similar to last quarter. Our cloud subscription net retention rate was 120% in Q1, and our cloud renewal rate was in line with our forecast for the quarter. The second category of total ARR is self-managed subscription ARR. This category, which we no longer actively sell declined in the quarter to $422 million. This was down 5.6% sequentially and down 16% year-over-year, consistent with our expectations due to the effects of natural churn and the roll-off of migrated on-prem workloads to the IDMC cloud platform. The third component of total ARR's maintenance for on-premise perpetual licenses sold in the past. Maintenance ARR was $433 million, down 4% sequentially and 9.5% year-over-year. This was consistent with our expectations, driven by both natural churn and the roll-off of migrated on-premise workloads to the cloud. Approximately one-third of our year-over-year maintenance ARR gross churn resulted from maintenance to cloud migration. Our guidance for the full year assumes the roll-off of modernized maintenance and subscription acceleration -- subscription ARR accelerates this year as modernization bookings accelerate. Modernizing our on-prem customer base to IDMC continues to be an important part of our strategy. At the end of Q1, 10.7% of our maintenance and self-managed ARR base has been modernized to the cloud or is in the process of modernizing, up from 9.4% last quarter and 5.5% a year ago. We have a life-to-date average 1.9 ARR uplift ratio on these modernizations flat to last quarter. Over the past 4 quarters, our average modernization uplift ratio was 1.8 and we expect the average uplift ratio to be in the 1.5 to 1.7 range in 2025, consistent with the forecast for the year we shared last quarter. In Q1, our realized modernization uplift ratio was slightly above the high end of the range we forecast for the year. Now I'd like to review our revenue results for the first quarter. GAAP total revenues were $404 million, an increase of 3.9% year-over-year or 5.6% year-over-year in constant currency. This exceeded the midpoint of our February guidance by approximately $14 million. Our revenue growth was driven by strong cloud growth, offset by declines as expected in our maintenance and self-managed subscription revenues. Foreign exchange rates negatively impacted total revenues by approximately $6.6 million on a year-over-year basis. Cloud subscription revenue was approximately $200 million or approximately 50% of total revenues, growing 32% year-over-year. As a reminder, due to the timing differences between revenue recognition and ARR the relative growth rates of these two metrics will differ from period to period. Self-managed subscription and support and license revenue combined were $84 million or 21% of total revenues, declining 16% year-over-year due to both natural churn and the roll-off of self-managed workloads that have been modernized to the IMC cloud platform. As a reminder, the impact of upfront revenue recognition for the license component of our on-premise self-managed contract renewals and new bookings effect supported GAAP revenue. The decline in upfront recognized self-managed revenues accounted for $9 million of the $16 million year-over-year decline, which was in line with the expectations embedded in our February guidance. Maintenance revenue was $103 million, representing about 26% of total revenues, a decline of approximately 12% year-over-year. Approximately one-third of our year-over-year maintenance gross churn resulted from maintenance to cloud migrations. Professional services revenues, which includes implementation, consulting and education, were down about $2.3 million year-over-year to $17 million. As a result, we expect this trend to continue in 2025 as our services partners assume a greater share of our customers' implementation work. Turning to the geographic distribution of our business. U.S. revenue grew 6% year-over-year to approximately $256 million, representing 63% of total revenues. International revenue grew 1% year-over-year to $148 million, representing 37% of total revenue. Using exchange rates from Q1 last year, international revenue would have been approximately $6.6 million higher in the quarter representing an international revenue growth of 5.2% year-over-year. Now I'd like to move on to our profitability metrics. Please note that I will discuss non-GAAP results unless otherwise noted. In Q1, our gross margin was 82%, about 1 percentage point higher year-over-year. We remain focused on maintaining healthy gross margins as our business transitions to the Cloud. Operating expenses were consistent with expectations. Operating income was approximately $122 million, growing 11% year-over-year and exceeding the midpoint of our February guidance by almost $17 million. Operating margin was 30.1%, a 200 basis point improvement from a year ago. Adjusted EBITDA was $125 million and net income was $69 million. Net income per diluted share was $0.22 based on approximately 309 million outstanding diluted shares, basic share count was approximately 303 million shares. Adjusted unlevered free cash flow after tax was $186 million, $36 million above the midpoint of the modeling range we offered last quarter, primarily due to faster cash collections and other working capital dynamics. We expect these favorable working capital factors to reverse in Q2 and therefore, Q2 free cash flow will be significantly lower than reported for Q1. Our free cash flow for the first half of 2025 should be in line with the historic linearity of that metric, and we are on track to deliver adjusted unlevered full year free cash flow that is in line with our full year guidance. Cash paid for interest in the quarter was $30 million, consistent with our expectations. And I'd like to provide an update on our share repurchase activity. During the first quarter, we spent $100 million to repurchase 4.9 million shares of Class A common stock at an average price of $20.50 through open market purchases. We did not repurchase any shares from April through yesterday. We've reduced our total share count by 2.8% since we launched our buyback program in Q4 of last year. Currently, we have 597 million available under our $800 million stock repurchase program. We ended the first quarter [indiscernible] strong cash position with cash plus short-term investments of $1.25 billion, an increase of $139 million year-over-year. Net debt was $567 million, and trailing 12 months of adjusted EBITDA was $564 million. This resulted in a net leverage ratio of 1.0x at the end of March. Now I'll turn to guidance, starting with the full year 2025. As Amit mentioned, we delivered solid results in Q1 and the guidance assumptions we made in February continue to align with our expectations. Therefore, we are comfortable reaffirming all previously issued guidance for the full year. As we look forward to the rest of the year, we will remain disciplined about managing our costs and balancing reinvestment in the business. We've seen the U.S. dollar weaken since we initially set our full year guidance. If these FX rates persist, it will provide a tailwind to revenue, which will be mostly offset by an expense headwind. You can find the details of our full year guidance and the expected FX impact in constant currency for Q2 and the full year in the press release we filed this afternoon. Now turning to guidance for the second quarter. We expect continued strong growth in our Cloud Subscription business, which is the focus of all of our go-to-market efforts and continued decline in our combined on-premise maintenance and self-managed businesses, which we no longer actively sell. The decline rate of our on-premise maintenance and self-managed ARR and revenue is due to both the roll-off of migrated on-prem workloads to the cloud and natural churn, which impacts the associated ARR and the reduction in renewal term for on-premise self-managed contracts, which impacts the associated ASC 606 self-managed revenue. As we mentioned before, this is in line with the expectations we laid out in February and is factored into our revenue and ARR guidance. You will note that our Q2 revenue and non-GAAP operating income guidance are lower than would be implied by our past quarterly linearity. However, you will also note that for the first half of 2025, our guidance implies similar linearity to what we have experienced in the first half of past years. With this in mind, we are establishing guidance for the second quarter ending June 30, 2025, as follows: we expect cloud subscription ARR to be in the range of $889 million to $901 million, representing approximately 27.4% and year-over-year growth at the midpoint of the range or approximately 27.4% year-over-year growth on a constant currency basis. We expect GAAP total revenues to be in the range of $391 million to $411 million representing approximately 0.1% year-over-year growth at the midpoint of the range or approximately negative 0.5% year-over-year decrease on a constant currency basis. We expect total ARR to be in the range of $1.69 billion to $1.714 billion, representing approximately 2% year-over-year growth at the midpoint of the range or approximately 2.1% year-over-year growth on a constant currency basis. And we expect non-GAAP operating income to be in the range of $93 million to $107 million, representing approximately negative 12.9% year-over-year decrease at the midpoint of the range. For modeling purposes, I would like to provide a few more pieces of additional information. First, we expect adjusted unlevered free cash flow after tax for the second quarter to be in the range of $55 million to $75 million. Second, we estimate cash paid for interest will be approximately $30 million in the second quarter and approximately $116 million for the full-year using forward interest rates based on one month SOFR and a credit spread of 225 basis points. Third, with respect to taxes, our Q1 non-GAAP tax rate was 23%, and we expect that rate to continue for the full-year 2025. Lastly, our share count assumptions. For the second quarter, we expect basic weighted-average shares outstanding to be approximately 302.7 million shares and diluted weighted average shares outstanding to be approximately 306.3 million shares. For the full-year, we expect basic weighted-average shares outstanding to be approximately 304.3 million shares and diluted weighted average shares outstanding to be approximately 309.2 million shares. Please note that the share count forecasts do not include the impact of any future share repurchases. In summary, we are very pleased with our first quarter performance, and we're off to a great start in 2025. And with that, operator, we're now ready to take Q&A.
Operator: Absolutely. [Operator Instructions]. Our first question will go to the line of Howard Ma with Guggenheim. Howard, your line is open.
Howard Ma: Great. Thank you again. It's great to see the outperformance on all key metrics at the start of the year. But Mike, I wanted to ask you about full-year guidance. When you first gave initial FY '25 guidance three months ago, I think many investors interpreted it as a reset and appropriately conservative. So I'm a little surprised by the lowered top-line guidance on a constant currency basis, especially considering the strong Q1 results. So can you clarify is the revised guidance simply the decision to keep the reported number unchanged? And in other words, you're deciding not to flow through what has become incremental FX tailwinds, since the last guidance? Or is it a reflection of deteriorating business trends? And if macro does deteriorate, is there enough cushion here?
Mike McLaughlin: Yes. It's the former, Howard. We're not in the habit of revising our guidance, particularly only 1 quarter into a full year based upon FX moves. As you know, FX has moved dramatically, historically dramatically over the last couple of quarters, both directions. And as we pointed out in the script, if these FX rates persist, we will see a tailwind to revenue, and that will obviously be beneficial to all of us, but they may not. And so we have chosen not to flow them into the guide, but we're not hiding it either. Likewise, we haven't flowed any conservative -- we haven't lowered anything based upon fears of macro impact, tariffs, all that sort of stuff. We still feel good about the reported guide, and we don't view it as a lowering of anything. We're on track to deliver what we said we were going to deliver three months ago.
Howard Ma: That's great. I'm glad you have clarified that. And as a follow-up in the same vein, also for you, Mike, with cloud subscription ARR representing 58% of the business exiting this year, growing 25%. I believe that implies that the remaining 42%, that is maintenance and self-managed ARR is going to exit the year down about 25% compared to the 13% decline in Q1. And so in the same vein, is that just conservatism? Or is there something we should be concerned about? Thank you.
Mike McLaughlin: Look, I would consider it as on track to what we expected and what we guided to three months ago. We've tried to be clear that the natural churn in self-managed is getting larger as it gets further and further from the end of sale, which we declared two years ago. Maintenance churn is a little bit larger on a natural churn basis, but still very solidly in the mid-90s. And what's really accelerating and accelerating more as the year goes on, acceleration, acceleration, maybe I shouldn't say it that way, is migration, modernization that folks are signing up to move their data workloads to the cloud and they're using Informatica IDMC to do it, and that's going to lead to more roll off of both self-managed and maintenance as the year goes on, and that's contributing to that double-digit decline that we expect for the rest of the year and what we expected when we talked to you in February.
Howard Ma: Got it. Thanks again.
Operator: Thank you, Howard. Our next question will go to the line of Pinjalim Bora with JPMorgan. Pinjalim, your line is open.
Pinjalim Bora: Great. Thank you for taking the questions. I just want to go back to the cloud renewals. I don't think I've got a number there. Obviously, it was pressured last quarter. Maybe help us understand what did you see in terms of the cloud renewals rate versus last quarter? Was it kind of consistent? Or did you see any incremental pressure or improvement?
Mike McLaughlin: Yes, thanks, Pinjalim. We're not going to be disclosing any particular renewal rates other than maintenance going forward. But directionally, I can say two things. One, it was consistent with what we expected, and it was sequentially up. And we feel that we are on track to deliver the cloud renewal rates that we expected to deliver for the full-year when we talked to you three weeks ago. And we're very much on track with the operational and systematic changes we made to make sure that that cloud renewal rate is solid and gets even better in '26 and beyond.
Pinjalim Bora: Okay. Understood. One for you or one follow-up for you, Mike. So Q1, when I look at the ARR results, overall seems like pretty good. But when I look at the net new ARR for Cloud and look at the rest of the net new kind of changes for maintenance and self-managed. I think typically, in prior quarters, the net new on cloud kind of nets out positive versus the decline on the other two. But this quarter, it seems to have netted out negative. I'm trying to think if it's largely because of the higher credits that you were talking about, last quarter depressing that cloud ARR number or just a lower uplift multiple. Maybe help me understand that.
Mike McLaughlin: I wouldn't attribute it to either of those things, Pinjalim. Q1 is always our smallest quarter by a big factor. And Q1 depends really idiosyncratically on what happens to be in the pipeline and what closes. It wasn't that the credit dynamics against the on-prem or the uplift multiple, we're distorting it. And frankly, it was in line with what we expected and we beat the guidance that we offered to you last quarter. If you look at our Q2 guidance, you can see that it's going to be a larger quarter and gets us back to on a first half basis to a linearity that's pretty similar to what we've guided to in past years. So it's really more about just the idiosyncrasies of Q1 versus Q2 and the rest of the year, not those other factors.
Pinjalim Bora: Got it. Thank you.
Operator: Thank you, Pinjalim. Our next question will go to the line of Alex Zukin with Wolfe Research. Alex, your line is open.
Alex Zukin: Thanks. Amit, maybe just first for you. two-parter. Can you maybe comment on some of the -- would look like successful operational and execution changes you guys made, what the results have been that kind of we can see in the P&L at this point? And then maybe also on the competitive environment, we've heard a bit more noise about the data vendors, getting a little bit more aggressive in the space. You also obviously announced the partnership with Databricks. Maybe just help us understand a little bit of what's going on there? And then I have a quick follow-up for Mike.
Amit Walia: Sure. Thanks, Alex. I think first, like Mike said, the operational changes that we made working into the year around renewal stuff is actually bearing fruit. We delivered against our guidance expectations. And the team, I think, as Mike said, sequentially, the renewal rate for cloud went up and basically against what we were expecting in our guidance plan. Same looking through for Q2 right now, Alex. So I feel very good about what the team is doing under the covers. And of course, we kind of think of the full year, but I think very early on, they have started basically hitting the turf and they, obviously, like I've always said, the team has delivered day-in, day-out. They took it upon themselves, it hurt their pride and they are basically working hard towards that. I feel good. On the competitive dynamics, CSR, no change. In fact, if anything, you saw the announcements we have done and what I announced this week. And I think next week, when most of you will be there, in fact, you'll see even more enhanced announcements, not only of our innovation but also partnerships and you will see that they continue to remain aggressive. When Databricks in particular, like I said, look, we support everything that they have. Our partnership with them is even more expanded in the enterprise segment as customers want to modernize, leverage AI. They need -- they don't want to couple things together. They want to actually have at-scale platform like us, and that's the partnership we have with them, which we announced, and that's actually bearing fruit. We see that. We are doing modernizations and new workloads in a bunch of large customers with them as well. So it's all good tailwind. I don't see any change to the rest of the competitive dynamic out there, Alex.
Alex Zukin: Perfect. And then Mike, maybe for you. Just again, I think you got this question from the first two analysts. But just explain your confidence or maybe the conviction and visibility around maintaining the Cloud ARR guide for the full-year, given it looks like the NRR went down a little bit more than maybe it had historically on a sequential basis to 120%, and you're still implying a net new ARR acceleration for the second half. Is that just more migration tailwinds kind of coming to bear? Or kind of how do we think about your visibility there?
Mike McLaughlin: Yes. Migration is certainly a key part of it. And -- but the net new customer workload pipeline also looks good to support it. And again, the first half, second half linearity using our Q2 guidance as the metric for first half is similar to how we've guided that in the past couple of years, which gives us further confidence in it. And look, this feels good while we are not yet in production with many of these AI workloads that Amit talked about. That pipeline for that product is real, and we would certainly hope that we'll be generating revenue from those Informatica for GenAI type workloads in the latter half of the year as well.
Amit Walia: I think I'll add two comments to that, what Mike just said, Alex to give you more piece part. One is on AI in particular. When we say more, of course, when customers go to production, it actually has an enhanced usage. So what we mean by what customers are doing today, they are using the product and the platform. Of course, at the same goes in modernization. Customers, obviously, when they are in dev, test, pre-prod, the consumption of IPUs is less than when they get to prod. So we are seeing that, the examples that give you are all customers doing live work on the product. These are basically actively customers using the IPUs. As they scale into large productions, we expect obviously larger utilization. That's what we see, both on Informatica for GenAI as well as the GPT usage. And of course, next week, we'll unveil a lot more. On the other side, look, I think to build on what Mike said, look, the reality is, as I sit here today, be barring any meltdown that can happen in the world, which none of us know. I mean, we keep that aside, pretty healthy pipe right now. When we look at Q2 pipe, I've mentioned in my prepared remarks, and Informatica World, we're seeing a year-over-year increase in the number of attendees and a year-over increase in the pipe that basically we tapped against Informatica World. All of those things look pretty good to us. So while there are other things in the world that can happen that we keep an eye on, we cannot ignore those. We also look at these tailwinds and we balance the two, and we feel good about where -- hence we come to where we feel good about the guide.
Alex Zukin: Perfect. Thank you guys.
Operator: Thank you, Alex. Our next question will go to the line of Koji Ikeda with Bank of America. Koji, your line is now open.
Koji Ikeda: Yes, hey guys. Thanks so much for taking the questions. So earlier today, it's kind of reported out there that ServiceNow bought a Cloud-native data catalog and data governance vendor today. And so thinking about that, it seems to be two sides of the coin. One side, definitely validating the importance of it. But the other hand, maybe increasing competition. And so curious to hear your thoughts on it.
Amit Walia: Sure. I think it's -- we don't look at it -- first of all, Data.World [ph] is a pretty tiny company. We've never ever run into them, ever in any of our deals because they basically -- they are -- as you can imagine, in every market, especially in data, which is such a fragmented market, I mean the 500, 600 companies out there doing offering data tools. So we've never run into them ever. Obviously, there's a lot of people who do tiny, simple, easy use cases. But when I say easy, it's like easy, easier at the lower end of not even easy like. So that's how first I'll categorize. Number 2 is, look, I think let's not confuse cataloging to people what we do. The cataloging is needed in all markets. So as an example, even Tableau that is in the BI market actually has it had its own catalog. And when it came out people in the early days thought what is competitive, no. Everybody has to catalog for their own use case, first of all. So look, I don't know what ServiceNow plans to do with it. But when you're moving IT tickets or log data, if you're a Splunk, you need to catalog those things for your own purpose within your own market. So that's how I see it versus people are looking to actually hire a lot of things for their own world. I don't see this, hey, now there is a whole new vendor in data cataloging and that's not how I see it, but look, obviously, will remain to see, but that's the reality of where the world is today.
Koji Ikeda: Got it. Thanks Amit. And maybe a follow-up question for Mike. Appreciate all the commentary on kind of the new customer, net new ARR and the migrations ARR, net new ARR. And it looks like just based on our model, the migration net new Cloud ARR is roughly the same this quarter as it was last quarter. But when I look at the churn away from self-managed and maintenance, that seems to be getting bigger this quarter. And so just help me square what's going on there? Anything that we should be thinking about outside of just the normal course of business.
Mike McLaughlin: Sure. So the thing you have to remember is, as we've explained in the past, is that, we have and will continue to have for the next couple of quarters, the double -- what I call the double overlap of the roll off of our original power center modernization program that we were selling prior to power center Cloud Edition, which as you remember, we launched late Q3 2023, and really didn't start selling in volume until Q4 and Q1 of -- Q4 of '23 and Q1 of '24. Those power center modernizations' original version, that was a two year modernization program. And so the maintenance or self-managed, primarily maintenance, didn't roll off until you were done with the modernization, which is two years later. So all of the 2023 deals of that flavor are going to roll off in 2025. Particularly the first two quarters and some in the third quarter. And we have the roll-off of the six month modernization program, which is Power Center Cloud Edition that we sold in the second half of 2024 and then going on into 2025. So you will see an exaggerated or amplified roll off based on modernization from self-managed and maintenance, that's not going to tie to the increase in cloud modernized ARR. When we get to '26 and beyond, that old two year stuff will be out of the mix, and so that distortion will be gone, but it's just a -- it's just a fact of life for the next couple of quarters, and we bake that into all of our guidance and modeling.
Koji Ikeda: Super clear. Thanks Mike. Thank you for that. Appreciate it.
Operator: Thank you, Koji. Our next question will go to the line of Kash Rangan with Goldman Sachs. Kash, your line is open.
Kash Rangan: All right. Thanks guys. I'm going to try and see if I can do a Zukin meets Zelnick in my question, although it's catch. I assure you it's not Zukin or Zelnick, but I'm going to try to ask them -- ask the question of the way they might with that. So with respect to the reset at the start of the year, following Q4 results, I can see why you're reiterating the reset guidance. But you also had a plan before you experienced the issues that you did in Q4 that call for cloud and that CAGR of some 32% et cetera. So while I appreciate the fact that you're reiterating guidance that might seem like it's a good short-term thing, what Brad would have asked you is, so why is this acceptable? And why are we not striving for getting back somewhere along the way to those old targets? And what are the measures that you might have put in place that give you relief not just in a three month time horizon, but something that structurally sets you approach. And this is a two-parter, and this is the Zukin question. So you see a lot of companies say AI needs data, which we agree, and you've been saying that too. But you're also seeing the different companies offer their own data platform, whether it's Salesforce or -- of course, Snowflake is Snowflake. And then ServiceNow has been doing that. So every platform applications company seems to want to do their own data platform. So how are you to measure your success in a landscape where your platform neutrality is definitely well appreciated. But what is the proof we're going to see that it is translating into meaningful incremental revenue and not just sustainable revenue. Thank you so much once again. I appreciate the thoughts are being direct, but I thought it's -- we're all friends here.
Amit Walia: No issues being direct. Z plus Z equal to K, what I would call this question then in an algebraic equation. So we all math people in this call. Multiple piece part question. So I think, first, I'll begin with reset guidance against guidance, what we are doing and why not go back to the old one. Cash, I think with all humility, we are one quarter into the year. And I think in one quarter, neither anybody should walk out after you implement changes and claims super victory and just basically raise their hands up in the air and saying, hey, I'm going to be 10 steps I head back to the old one or neither we are decelerating. I think we have to have the patience to basically we just finished three months in a fiscal year where we feel that all the changes we made, we are feeling good about them. So I think until we finish half a year, I think it will be -- with also realizing that while we have tailwinds that I talked about, the world also is out there, out there in the ether that we cannot ignore. So I think in one quarter, it'd be -- I think it would have been silly for us to come back and say, I go back to the old world. So that's not what we think. And I think that's the prudence and how we execute internally. So that's my answer to why not go back to the old one within three months of the change. I think, look, when we go to the second half, which is why we also took out the medium-term guidance and, look, we've come back, and we'll give you a revised meeting in the guidance. And for that also, we need to close our first half of the year, see many trends, feel good about many things, and we can come back and be thoughtful about what we want to do. So that's number one. Answer number two, data platforms. I think they are mixing two things with all due respect, Snowflake, I think there are two things I'll remind everybody. And I think, first of all, data platforms are not data management platforms. A Snowflake and Databricks and a data cloud are not data managed just because the word data is there, we can very well put databases in that -- to MongoDB, and we can go into -- I can go on and on and on. So I think customers choose data platforms and data management platforms and Analytical BI tool platforms, they just do the database and say everything goes into that. And cash, you live the world, I live the world that existed when Oracle had databases. Teradata had a data warehouse, Netezza existed and that argument. Since then, since time immemorial has always come back to us. Hadoop came in, it was the same, but that's not how data and data manager platforms are two very different things. I would further enhance that the fragmentation of the data platform is exactly coming to what our strength is. The more the data platforms, the more the application platforms, the more the fragmentation is the more the complexity is the more we solve that problem for our customers. So that's how customers look at doing things. Thirdly, I'll also remind everybody, and I think we keep forgetting it's on our Investor Day. So not that [indiscernible] our cloud ARR, 50% of it is master data management and data governance. 50% of its integration, which is app integration and data integration. And we always think of the data platform, which, by the way, don't compete with us. And even if there is a overlap in some areas, sure that somehow ATL makes up Informatica. So 100% of cloud is that. So if somehow there's a native tool somewhere, ADF has it, that it, Informatica is over. There's nothing wrong with MDM, nothing with data governance, nothing with catalog across an enterprise, nothing with app integration, nothing to do with modernization. So that's the real world. Coming back, we're going to finish the first half. We absolutely want to accelerate the growth. And lastly, let's not forget, Cloud is growing. Because we have this double whammy this year, that is on-prem self-managed that Koji asked and Mike explained, but going through the last mile of this big decline that we are taking, that naturally smooths out the growth curve as we think of '26 and '27. You asked a great question, sorry for the long answer, but I just had to reply with at least a three part as it related question.
Kash Rangan: No, no. I love the passion you answered. Thank you so much for [indiscernible] and Zelnick and Zukin.
Operator: Thank you., Kash. Our next question will go to the line of Miller Jump up with Truist. Miller, your line is open.
Miller Jump: Hey, thank you for taking the question. Just to stay on the AI topic maybe, look like the commentary you gave up top sounds like customers were leaning harder into the Informatica for GenAI initiatives in the quarter rather than pumping the brakes on new projects. Is that the correct interpretation? And then Mike, just a follow-up to that. I just want to make sure I understand part of the comment you made in response to Alex's question is an increase in the Informatica for GenAI business baked into your assumption in the second half of the year? Thanks.
Amit Walia: Yes. I think two ways to think about. First of all, remember that the beauty of IDMC and the beauty of IPU consumption pricing model is that customers can without having to think A, B or C can start their GenAI whatever you want to call it, pre-prod projects right away. And that's what they are doing. We see that of the 175 customers that are Informatica for GenAI or the 500 plus for CLAIRE GPT, that's what they're doing. They can immediately consume their IPOs given what they have and go have at it. And we are seeing that we can track that data. And that's what we see customers do. Now -- so I don't see customers slow down their AI initiatives. Not at all. I think AI is not like, oh, I will do it at some point. I think what is happening is that every enterprise is making a decision of different order because there are different places they use GenAI. And in the world of where we live, for example, customers using GenAI in a chat bot to basically take customers at cost. Those are all things happening at the app layer. So here, the customers are going about doing the word and they are working around the organization to then figure out, okay, now they have to take it to prod, what are the guardrails, how do I get it approved and what is it that the business has to do those kind of things. I see them happening because why? Because the GSIs are doing that work for them. And then Informatica practice comes and talks to us the same practice is working with Azure and Snowflake. So we are seeing the gradual increase of that adoption on our platform, on our usage and I expect to see them going into prod as we think about the latter half of this year and next year, for sure.
Mike McLaughlin: And with respect to your question about what's in the model, we don't have a specific line item for AI bookings in 2025. What we have is a numerous preproduction workloads that are using our capabilities for AI. And we have an ever-growing pipeline of customers that are interested in using Informatica for that purpose. And it all contributes to our view that we're going to meet the cloud guide for the year. So no, there's not a specific number in there, but directionally, it all ladders up to what we think is a good foundation for the amount of software we expect to sell in 2025.
Miller Jump: Appreciate the color. Thank you.
Operator: Thank you, Miller. Our next question goes to the line of Matt Headberg with RBC Capital Markets. Matt, your line is open.
Matt Headberg: All right. Thanks for taking my questions guys. I wanted to go back to hear you guys in the last mile of the cloud transition is certainly exciting. And I know you guys want to sort of like not force change with your maintenance customers. But as you enter this last mile, are there things that you're thinking about potentially doing whether it's additional sales compensation or maybe end-of-lifing maintenance at some point to kind of truly get that the last 10 feet once we're kind of close to that last mile?
Amit Walia: Terrific question, Matt. I think -- I'll answer it this way. And then you'll -- if you're there next week, you'll only hear us talk a lot more about these things with our customers. Look, we've not leaned in to do end of life, but there are natural things that are headed towards there. For example, power center is now end of a normal support, a regular support. And we've already told our customers, they are already aware of it, and starting early next year in March it will get to extended. And in the old days, customers would move from 1 version of on-prem to the next version of on-prem, and this is the last version of on-prem after this either they'll stay on extended support, which costs more or they move to Cloud. And the reason -- and you know like that, we are seeing lot of extra attendance to our modernization webinar, customers reaching out because they know they take time to prepare. So in a way -- because we run operational workloads, we don't want to basically put a hammer on our customer's head and say we're going to end up like tomorrow. But the end of support is leading customers to basically make that decision in 1 way where there's a compelling win. Secondly, tied to that is we are seeing such a high rise in both our AI webinars also, customers are connecting the dot, which we've been educating them in the last 12 months, even more so that, hey, you want AI, you only can really have when you get to the cloud. And they basically now getting a two for that, okay, I have a compelling eminent and I can get all the AI benefit get to cloud. So we're seeing the increase involvement of customers with us coming to webinars and talking to our app. So again, customers plan with our product. So I think we see that, and I think that should be the natural flow of things.
Matt Headberg: Thanks, Amit, that's super helpful. And then I just had one for Mike. Just a clarification on Howard's question. And maybe I just want to make sure that I understand the full-year guide. It looked like last quarter you guided revenue from a constant currency basis, 4.6%, but now it's 3.5% constant currency. So I mean, to me, that seems like a little bit of a lower, but maybe it's something to do with the way you calculate constant currency. Just a point of clarification on that.
Mike McLaughlin: Look, we guide in dollars, and we are reaffirming the numbers that we're going to deliver for the full-year. And we're not obsessed after one quarter into the year in particularly in a context of or where exchange rates have been moving 3% to 8% in the course of a quarter of micro adjusting our full-year guide for FX. It's not a lower, it's not a lower of anything. Yes, mathematically, we didn't roll into the guide potential future FX rates for the reasons I just described. We're focused on delivering the dollars that we got to deliver in February.
Matt Headberg: Okay. Thanks a lot guys.
Operator: Thank you, Matt. Our next question will go to the line of Tom Blakey with Cantor Fitzgerald. Tom, your line is open.
Thomas Blakey: Hi guys. Thanks for taking my question. I think my questions might be a little simpler here. But the -- could you just walk us through again what dynamics you're kind of seeing here? Remind us, I guess, on the 1.5 to 1.7 average uplift was kind of holding things back and what you saw in the quarter that maybe allowed you to exceed this in 1Q '25, if I heard you correctly. Just trying to get a better understanding of what could degrade into 2Q or the second half here? And what could be better maybe as a follow-up, I'll just ask. The $1 million-plus cohort seemed a little stronger than at least what I was looking for in 1Q. Was there anything there aside from just timing pulling things in from 2Q to 1Q? Or is there something else from a -- and any other dynamics would be helpful there that could possibly also continue into the second half, would be helpful. Thank you.
Mike McLaughlin: Yes, sure. So let me start with the uplift multiple. The uplift multiple is coming down, as I described last quarter because we're allowing it to come down because we're letting our sales force address a larger portion of our installed base that will naturally generate our on-prem installed base. That will naturally generate a lower uplift multiple because of how they're using their on-prem products needs fewer IPUs to modernize than some others or what they're paying for their historical on-prem subscription or maintenance versus what a fair price for IPUs is going forward. And we are allowing that uplift multiple to degrade because we have enough experience with cloud modernizations to know that the lifetime value of that customer once they modernize is really, really attractive. We know that when they sign up for the modernization upfront, they drag additional expansion sales in addition to the IPUs, they need to do the modernization, and that's not included in our uplift multiple calculation, by the way. Once they get in production and the modernization, their utilization of IPUs is very good, which tends to lead to interim expansion and they renew at a very high rate, higher than our average once they get to the maturity of their initial deal. So the reduction of the uplift multiple, while it does have near-term implications mathematically on the amount of cloud we get in day one from a modernization is an intentional reduction. In Q1, it was a little bit above that 1.5 to 1.7 range. But I wouldn't read anything into that. We expect for the full-year that it's going to be in that range that we guided to. I'm happy that it's where it is. But I'll be equally happy if it lands at 1.6 for the full-year. And then was there a second part of that question?
Thomas Blakey: Yes, just asking about the strength in the $1 million-plus cohort?
Mike McLaughlin: The $1 million-plus. Look, our customers are generally large and they're getting larger. You can see it in the increased ACV of our cloud customers, up 20% year-over-year. And when that's happening, you're going to have more people -- wherever you draw the line in the sand, whether it's $100,000 customers, $1 million customers, $500,000 customers, that's going to go up to. It's just reflective of the fact that large enterprises trust Informatica for their cloud data management, and that continues to accelerate.
Thomas Blakey: Thank you.
Operator: Thank you, Tom. Our last question will go to the line of William Power with Baird. William, your line is now open.
Ioannis Samoilis: Thank you. This is Ioannis Samoilis for William Power. Thanks for taking the question. I just wanted to double click on the Cloud NRR. It looks like you ticked down a little bit further in Q1. So I'm wondering if you could discuss what might have driven that under the surface. It sounds like gross retention was in line with your expectations. It sounds like you haven't seen much in terms of macro. So is it more that you're encountering difficulty with the cross-sell of products into your customer base? Or is it more a function of the slowdown and the expansion of workloads that customers are bringing on to your platform? It would be great if you could just discuss the specific drivers of the net new business in more detail. And also if there are any particular actions you're taking on the cross-sell motion aside from the organizational improvements that Amit mentioned at the top. Thanks.
Mike McLaughlin: Yes, sure. So the net retention rate has variability to it, and we've always warn people that, that would be the case. And it exhibited that variability in Q1, which, as you know, is our smallest quarter of the year, and therefore, is most subject to that. One of the things -- and so there's nothing that we believe is negative about that, it's still 120%. And if you deliver your overall growth, but your net retention rate is a little bit lower, it means your net new is higher. And so we're happy about that bit of it. There is one thing that does affect that, though, that is structural, and that is modernizations. So your average modernization customer, so a customer who is choosing to move their data workload from Informatica on-prem to Informatica Cloud, is more likely than a net new workload customer to be a new cloud logo, and therefore more likely to be not accretive to your net retention rate because they weren't in our cloud base or cloud-base, they were in our on-prem base, but our net retention rate is cloud-only. They're more likely to have not been in the cloud base a year ago than someone who is standing up a new workload or an expansion of existing workload. And as we see, therefore, modernization contribute a greater proportion of our cloud growth. Directionally, that has a negative impact on the net retention rate, but it has a positive impact on the net new. So there are going to be things that are going to move that number around. But the range that it's in, we feel comfortable with.
Ioannis Samoilis: Okay. Thanks so much.
Mike McLaughlin: Sure. Thanks.
Operator: Thank you, William. That will conclude the Q&A session. I will now turn the call back over to the management team for closing remarks.
Amit Walia: Thank you. Well, look, I think as we said, Q1, we feel very good about a solid start to the year. And I'll address that. Look, it's a landmark of moment. We're almost 50% of our total ARR is cloud now. 49.8% some decimal points to be precise. And that's a very big milestone for us. And lastly, I think I will just remind everyone that our Cloud business is growing very handsomely. This is a year where it's the last mile of our transformation where we have the double bubble that Mike explained, where we are basically churning -- reducing a lot of those self-managed monetization, whole lots that are coming from PC 1.0. So overall, this is the last mile of that happening. We obviously came back in February and gave you guys a revised guide for the year, and we are executing with that guide and we feel very good about that. Obviously, we are going to come back at the end of the first half of the year. As we look towards the latter half of the year, we'll come back and give you a revised guide, medium guide. But we feel very good about where the Cloud business stands, the intrinsics of what we are doing, how customers are modernizing, how AI workloads are getting adopted. Our place in the market, obviously our innovation, which we unveiled more of it next week at Informatica World. So overall, I feel very good about the start of the year and how our teams are executing. Thank you.
Operator: That will conclude the Informatica, Inc. fiscal first quarter 2025 call. Thank you for your participation. I hope you have a wonderful rest of your day.